Operator: Ladies and gentlemen, good morning or good afternoon. Welcome to the STMicroelectronics Q2 2017 Earnings Results Conference Call and Live Webcast. I am Moira, the Chorus Call operator. I would like to remind you that all participants will be in listen-only mode and the conference is being recorded. After the presentation, there will be a Q&A session. The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Mr. Tait Sorensen, Group Vice President-Investor Relations. Please go ahead, sir.
Tait Sorensen - STMicroelectronics NV: Thank you and good morning. Thank you for all for joining our second quarter and first half 2017 financial results conference call. Hosting the call today is Carlo Bozotti, ST's President and Chief Executive Officer. Joining Carlo on the call today are Jean-Marc Chery, Deputy CEO; Carlo Ferro, Chief Financial Officer; and Georges Penalver, Chief Strategy Officer. This live webcast can be accessed through ST's website. A replay will be available shortly after the conclusion of this call. This call will include forward-looking statements that involve risk factors that could cause ST's results to differ materially from management's expectations and plans. We encourage you to review the Safe Harbor statement contained in the press release that was issued with the results this morning, and also in ST's most recent regulatory filings for a full description of these risk factors. Also, to ensure all participants have an opportunity to ask questions during the Q&A session, please limit yourself to one question and a brief follow-up. And now, I'd like to turn the call over to Carlo Bozotti, ST's President and CEO. Carlo?
Carlo Bozotti - STMicroelectronics NV: Thank you, Tait, and thank you all for joining us on our second quarter and first half earnings conference call. Our agenda today includes an overview followed by a detail discussion of our results by product group, our outlook for the third quarter and our ambitions for the second half overall. Before beginning, I want to welcome our Deputy CEO, Jean-Marc Chery to his new role, which officially started on July 2nd. I look forward to working even more closely with Jean-Marc and with our strong executive team to continue to deliver sustainable and profitable growth. Let's start now with our financial review. As you have seen, we are putting together quarters of successive improvement in our financial results. The second quarter delivered further improvement with strong, sequential and year-over-year revenue growth, and with operating income and net income following the same trajectory. Revenues increased 5.6% sequentially a better than seasonal performance and 60 basis points above the mid-point of our guidance. On a year-over-year basis, revenues increased 12.9% with growth coming from all product groups and sales channels. In the Internet of Things and smartphones, we continue to win business with our complete portfolio of microcontrollers, sensors, analog and power management, connectivity and secure solutions. And IoT, our distribution channel plays a key role with point of sales in the second quarter growing 13% year-over-year. Distribution represented 34% of our revenues in Q2. In Smart Driving, we continue to capture opportunities both with products developed in our Automotive and Discrete Group, as well as with products such as sensors and general purpose analogs which are developed by other groups and fit the need of Automotive customers. With our present visibility, we expect our overall Automotive business to grow by about 10% in 2017. For the first half of 2017, ST's quarterly revenues were $3.74 billion, up 12.9%. Gross margin was 38.3% in the second quarter, 20 basis points above the midpoint of our range. On a sequential basis, gross margin increased by 70 basis points, positively impacted by favorable product mix and manufacturing efficiencies, partially offset by price erosion. On a year-over-year basis, gross margin increased by 440 basis points, reflecting manufacturing efficiencies, improved fab loading and a favorable product mix partially offset by normal price pressure. Operating income before impairment and restructuring charges increased to $184 million, representing an operating margin of 9.6%, thanks to our product and profit initiatives driving operating leverage, better product mix and manufacturing efficiencies. On a sequential and year-over-year basis, operating income before impairment and restructuring charges increased by $50 million and $144 million respectively. Net income in the second quarter was up sharply to $151 million, representing a sequential improvement of $43 million and, on a year-over-year basis, a swing of $128 million. First half 2017 net income totaled $258 million. Free cash flow was $52 million in the second quarter and $113 million for the first half. This means that we can support our higher level of capital investment in 2017 from our improved cash flow from operations. Exiting the second quarter, our net financial position was $524 million, slightly up from the first quarter and higher by $98 million compared to one year ago, after having distributed $207 million in dividends. To strengthen our capital structure and further enhance our financial flexibility, in July we raised $1.5 billion at an overall zero cost, through a convertible bond offering. Additionally, the combination of the net share settlement option and the ongoing repurchase of the underlining shares implies substantially no dilution at conversion to shareholders. Proceeds from the issuance of the bonds will be used for general corporate purposes, including support for growth, and the redemption of our 2019 and 2021 convertible bonds. Now, let's move to a detailed review of our product groups, beginning with Automotive and Discrete, our ADG. ADG revenues grew 6.6% sequentially, performing better than the company average, and grew 4.7% in comparison to the year ago quarter. ADG's operating income and operating margin improved sequentially, driving ADG's second quarter operating margin to 8.6%. For the first half, ADG revenues increased 5.1%, with its operating income up slightly and the operating margin substantially stable at 7.1%. Looking at our product portfolio for Automotive, we see the increasing silicon content of the latest generation of cars reflected in the number of ST components present in new models. For example, in the new Audi A8, we estimate that we will contribute up to 1,000 components, coming from all areas of our broad portfolio in the Automotive. With our focus on technologies and solutions enabling greener driving, we won important design wins related to car electrification. These included wins for silicon carbide MOSFETs, high-temperature silicon controlled rectifiers, and ultrafast diodes from OEMs, as well as from key automotive suppliers. Semiconductors content for hybrid and electric vehicles is growing fast. And we see the potential for over 50 silicon carbide dice in today's typical electric car. We also had a number of design wins related to a more connected and safer driving experience, such as an important win for a new generation of airbag platform from a major car-safety technology leader. We also won audio-amplifier socket with a Tier 1, and we were selected as a partner by a German company for the development of a next-generation rear LED driver, targeting major global carmakers. Moving to our power Discrete business outside Automotive. Here, we had design wins for high-voltage Super Junction devices for battery chargers with leading smartphone makers, wins with high-voltage IGBTs from many global leaders in home appliances, and wins with the ultrafast series diodes at top air-conditioning makers. In our Analog and MEMS Groups, AMG, we saw strong revenue growth, both sequentially and year-over-year. On a sequential basis, revenues increased 8.9%, driven by both Analog and MEMS products. Year-over-year, AMG revenues were up 28.3% on sharply higher MEMS growth and also strong growth in Analog. Similarly, AMG's second quarter operating margin saw strong sequential and year-over-year improvement, increasing to 14.5% from 10.1% and 0.2% in the prior and year-ago quarters, respectively. For the first-half 2017, AMG revenues increased 24.1%. Its operating margin saw a significant turnaround, reaching 12.4%, up from breakeven in the year-ago period. Moving to the AMG products. Our MEMS sensors achieved a number of important design wins across a diverse range of applications. These included motion sensors and magnetometers in PCs and tablet, motion sensors for bike application in Asia, and a 6-axis motion sensor for a top Chinese smartphone manufacturer. We also received first orders for waterproof pressure sensors for a smartwatch from a leading global brand and won socket for pressure sensors in multiple applications, including drones and appliances. In addition, we enlarged our family of 10-year-longevity sensors with the introduction of a 6-axis module targeting Smart Industry applications. In sensors for our automotive telematics applications, we grew more than 30% year-over-year with customers across the globe. In wireless connectivity, we launched a new System-on-Chip Bluetooth Low Energy 5.0-certified, and also won multiple designs for a sub-gigahertz and Bluetooth Low Energy in a range of applications, including wearable, smart home and smart building automation. The performance of our Analog business was strong during the second quarter. We achieved record quarterly sales in standard and high performance analog product families. And we introduced new advanced operational amplifiers to reinforce our position, both in Industrial and in the Automotive. Our STSPIN motor-control family won numerous sockets globally for a broad range of Consumer and Industrial motor-control applications, including 3D printers, textile machines for smart factories, but also vacuum cleaners and fan controls. Wireless charging has been an area of recent investment, and during the second quarter, we landed a design win for fast, wireless-charging ICs in smartphones, as well as introducing new multi-standard wireless charger ICs. Now, let me share some highlights on our Microcontrollers and Digital ICs Group, MDG, which has seen a strong overall improvement in operating result since the start of the year. On a sequential basis, MDG's revenues increased 3.3%, and year-over-year were up 10% on double-digit growth of our general purpose microcontrollers, offset in part by lower digital IC sales, including products undergoing a phase-out. MDG's operating margin was 11.6% in the second quarter, showing sequential improvement and was up sharply compared to the year ago quarter. On a year-over-year basis, this improvement reflects, on the one hand, our strong performance in microcontrollers and on the other, our restructuring initiatives, that have resulted in a substantial reduction of losses from digital ICs. First half, MDG result further demonstrate the significant progress we have made, with revenues increasing 10.7%, operating income up $126 million and its operating margin reaching 10.9%, from 0.5% in the first half of 2016. On general purpose microcontrollers, we have seen another record quarter in Q2. To further strengthen the STM32 family product offer and ecosystem, we introduced new parts for the STM32L4 and this family features advanced capabilities in terms of audio performance. And also with this family, we can provide the new IoT Discovery kit, indeed to accelerate development of applications with direct connection to the cloud services. We also increased our support for Smart Industry applications, with a scalable industrial Ethernet platform through a cooperative effort with a German automotive solution provider. Moving to security, we started production of our latest high-performance Near field communication controller, targeting consumer and mobile security applications. We launched a new STPay dual-interface banking solution and announced a solution for IoT Security based on STSAFE Trusted Platform Module, in cooperation with Security Platform Incorporation. We gained wins for ST25D dynamic RFID tags in washing machines and for ST25R Near field communication reader ICs for point-of-sales terminals from major OEMs while beginning production ramp of 256 kilobit EEPROM at a top sportswear brand. We also launched the ST25DV Dynamic Near field communication/RFID Tag expansion board for the STM32 Nucleo ecosystem. In our custom silicon business, we introduced the first European independent design platform dedicated to ASICs for space applications in low-power CMOS technology, in cooperation with the European Space Agency and the French Space Agency, CNES. We also qualified a new FD-SOI digital ASIC for a key networking OEM and captured several design wins for optical ICs at a key subsystem manufacturer for applications in data centers. To complete the review of our products, let's now discuss our Imaging Product Division, which we report in others. As anticipated, Imaging revenues in the second quarter decreased slightly on a sequential basis to $68 million while we prepare for the ramp of new programs. On a year-over-year basis, Imaging revenues increased 60% in the second quarter, and for the first half 2017, rose 83% to $140 million driven by ST's innovative Time-of-Flight technologies. In the second quarter, we continue to gain design wins while delivering high volumes of our FlightSense Time-of-Flight proximity and ranging sensors to multiple smartphone OEMs. We now have reached cumulative shipments of over $300 million Time-of-Flight sensors and are in more than 80 smartphone models from 15 different OEMs. Moving now to our third quarter guidance. We anticipate continued progress in revenue growth, improvement in our operating performance and higher net income. Bookings are strong across all product groups and regions and we continue to see healthy inventory level and demand from our point-of-sales data. Based on our current bookings activity and visibility, we expect third quarter revenues to increase about 9% on a sequential basis. This represents a year-over-year growth of about 16.6% at the midpoint of our guidance. We expect this growth to come from all our businesses, regions and sales channels. For our three product groups, we anticipate revenue growth in the third quarter to reflect higher than normal seasonality. In our Imaging business, we anticipate strong sequential growth as the key new program ramps in Q3, followed by further revenue acceleration in the fourth quarter of this year. Looking at 2017 overall and based on current visibility, we expect our revenues to be at the high-end of the range that we gave at the Capital Market Day, which was 14% year-over-year revenue growth plus or minus 1.5 percentage points. Turning to gross margin, we anticipate further expansion in the third quarter to about 39% at the midpoint leading to strong year-over-year improvement in operating and net income. With respect to our 2017 free cash flow, we continue to anticipate it well substantially – that will substantially match the level of our dividend. Additionally, let me share, some more specifics on our capital investment plans for 2017. At our Capital Markets Day in May, we indicated we were reviewing our capital spending in 2017 above our initial plans of up to $1.1 billion. Based upon a combination of new products and higher customer demand, we now anticipate capital investment in 2017 to be in the range of about $1.25 billion to $1.3 billion. This investment will support both 2017 revenues and our future growth programs. To conclude, at our Capital Markets Day, we shared with you our financial performance targets for the second half of 2017. Based upon our third quarter guidance and second half ambitions overall, we believe ST is very well positioned to reach these short-term financial target. My colleagues and I will now be happy to answer your questions. Thank you.
Operator: We will now begin the question-and-answer session. The first question is from Alex Duval from Goldman Sachs. Please go ahead.
Alexander Duval - Goldman Sachs International: Yes. Good morning, everyone. Many thanks for the question. Alex Duval from Goldman Sachs. Just wanted to clarify exactly what Automotive revenue you saw overall, obviously that spread over several groups? That's the first point. And then the second one was just on some of the data points you've seen out of Automotive semis globally, particularly in the U.S. we've seen some semi players and Tier 1 suppliers have some weaker data points, but you seem to be pointing to double-digit growth in coming quarters. So, just wanted to understand your view on overall global auto end market and any specifics for ST? Many thanks.
Carlo Bozotti - STMicroelectronics NV: Yeah. With the visibility that we have today, we will grow 10% in our Automotive business. And the backlog is very strong and it's very strong across all technologies. This is for our discrete sensors, certainly for smart power products, microcontrollers and all the complex digital ASICs for infotainment or the advanced safety and connectivity. So, it's broad range and is strong. And of course, we understand that there are some fluctuations in the overall volumes, but content is increasing and with the visibility that we have today and supported really unprecedentedly strong backlog. In the Automotive, we plan to grow 10% year-over-year.
Alexander Duval - Goldman Sachs International: That's very clear. And just to – I have one quick follow-up. We've seen some data points around wafer pricing increasing year-to-date. Wondered if you could give a perspective on what that can mean for ST, to what extent we could see any impacts and how it controlled. Many thanks.
Carlo Bozotti - STMicroelectronics NV: Carlo, the Manager of Procurement.
Carlo Ferro - STMicroelectronics NV: Yeah, good morning, everyone. Indeed at the end of second half of 2017, it will be a period with some upside on the overall price for silicon substrate. This will affect us. It's well incorporated in our gross margin roadmap and the visibility that we are sharing with you. With some of this supplier, we have early contract. So, I believe that perhaps it is a little bit less effect than other semiconductor companies because of this reason and overall, at the end, there are ingredients in our technology manufacturing roadmap that are exposed. But, clearly, the 200-millimeter, the-300 millimeter bulk wafers, while there are other ingredients like, for instance, the Si-substrate that became important in our volume, as you may expect, in the second half of this year that are less exposed to this price evolution.
Alexander Duval - Goldman Sachs International: Very clear. Many thanks.
Tait Sorensen - STMicroelectronics NV: Thank you, Alex. Next question, please?
Operator: The next question is from Sandeep Deshpande from JPMorgan. Please go ahead.
Sandeep Deshpande - JPMorgan Securities Plc: Yeah. Hi. I have two questions, if I may? Thanks for letting me on. My first question is regarding your ASIC business. Carlo Bozotti, I mean, do you have – are you working with any major smartphone vendors at this point on major ASICs – in any major ASICs? I mean since last year, when you did the restructuring in the set-top box business, you did move some employees into a power management business and whether you are going to work in power management, ASICs, for instance, in the smartphone market? And my second question, Carlo Ferro, is on the other revenues that you report. Your other operating income losses increased in the second quarter. I'm not entirely sure why that happened given that your gross margin improved, annual revenue improved. So, how do we model that going forward into the latter half of the year?
Carlo Bozotti - STMicroelectronics NV: Sandeep, yes, we have ASIC development. Of course, we have broad range of technologies and we can cover both smart power ASICs, but also digital ASICs. And indeed, we have important developments in this area.
Sandeep Deshpande - JPMorgan Securities Plc: Are you talking about the smartphone market?
Carlo Bozotti - STMicroelectronics NV: No, no, no. Yes, I'm talking about the smartphone. Yes. Absolutely. Yes.
Sandeep Deshpande - JPMorgan Securities Plc: Thank you.
Carlo Ferro - STMicroelectronics NV: Sandeep, to take your second question, help me, please. Is your question about the other revenues in the P&L or the revenues for the other group?
Sandeep Deshpande - JPMorgan Securities Plc: No. Other group which is where you report Imaging and where you historically reported losses associated with under utilization, et cetera, where it has increased from negative $14 million in Q1 to negative $28 million in Q2 as such really.
Carlo Ferro - STMicroelectronics NV: Okay. Okay. I see the question. Of course, there are two important ingredients there. One is already very evident in our results is the substantial loading of the fab. So, you make expect that the second quarter result have really a very, very minor effect of unused capacity on this line. Then, the result of the Imaging Division is very much associated with the evolution of the product programs and time to ramp the program. I believe it's not a surprise that no new program has ramped in the course of the second quarter. And this is the reason why revenues in Q2 were sequentially lower than prior quarter. And overall, the combination of the top line and the network (31:07) to support the new program ready to start is the reason driving the operating income for the division in the second quarter. We are very confident for the second half of the year for this line.
Sandeep Deshpande - JPMorgan Securities Plc: Understood. So, this was because of costs which are not covered on new projects. Understood.
Carlo Bozotti - STMicroelectronics NV: Exactly.
Carlo Ferro - STMicroelectronics NV: Yeah.
Tait Sorensen - STMicroelectronics NV: Thank you, Sandeep. Thank you. Next question, please.
Operator: The next question is from Achal Sultania from Credit Suisse. Please go ahead, sir.
Achal Sultania - Credit Suisse Securities (Europe) Ltd.: Hi. Good morning. Thanks for my questions. So, if I look at your Q3 guidance, it implies that revenues are going to grow sequentially about $175 million. Can you help us understand like how much of that is going to come from the Others category? Like I know you can't give a precise number, but like just give us some sense whether it's like 50% of that incremental growth is driven by Others, or is it less than 50%, more than 50%. Any color around that would be helpful. Then I have a follow-up.
Carlo Bozotti - STMicroelectronics NV: Carlo?
Carlo Ferro - STMicroelectronics NV: No, where you want to go, I would be thank to answer that from a news capacity fab loading – our revenues generation. But I'm sure that your question is different, and clearly, we cannot be, as you may understand, very, very specific on individual line and individual program. Carlo has already indicated the trend for both the Imaging Division and the Other. And overall, three product groups – on the Other, overall three product groups, we see a sequential revenues increase higher than normal seasonality and the normal seasonality for us is between 3% and 3.5%. So, higher means that higher than that. And for the Imaging Division, we see a strong increase in the quarter, and furthermore, increase in acceleration in the fourth quarter upon the view of starting new program and the acceleration of the program more loaded in the fourth quarter than in the third.
Achal Sultania - Credit Suisse Securities (Europe) Ltd.: Okay. That's helpful color. Thanks. And maybe a follow-up. On your sales guidance for the full year, obviously, you've increased – you're saying now you'll probably reach the high end of the range. Just trying to understand what are the key drivers that is making actually you more confident about that. Is it mainly autos? Because I also see that you've raised auto's guidance from 9% to 10, and probably there is some FX tailwind on the top line as well because of weak dollar. Are there any other puts and takes around that or...
Carlo Ferro - STMicroelectronics NV: To be candid in the answer in respect to what we told you in May, I believe, the only difference today is about the timing and to gain visibility over timing. Again, we were very confident on the status of the business in May. Given still seven months to end the year, we tend to be a little bit more prudent. Now, we have a visibility with a very reasonable set of expectations to give us comfort towards the high end of this range. Nothing, in particular, in respect to specific businesses, our area of applications have changed as order (34:50) remains quite strong.
Carlo Bozotti - STMicroelectronics NV: Right. Right. And inventory at our distributors really low. So it is across the board. So, it is a good momentum in the three areas that we have, the IoT, the smartphone, for us is one area, Automotive, as we said, at 10%. And also, let's say, all of this new applications in the mass market. So we have a stronger, let's say, visibility pretty much across the board from a business point of view, but also from a regional point of view.
Achal Sultania - Credit Suisse Securities (Europe) Ltd.: Okay. Great. Thanks a lot, Carlo, and congratulations for strong results. Thank you.
Tait Sorensen - STMicroelectronics NV: Thank you, Achal. Next question, please.
Operator: The next question is from David Mulholland from UBS. Please go ahead.
David T. Mulholland - UBS Ltd.: Hi. Thanks for taking the question. Maybe similar to the vein of the last – first question. But we had a fairly clear indication from another supplier into the product ramp in H2 that the phasing would be a bit more Q4-weighted relative to Q3 on when revenue benefit might be seen from the kind of 3D sensing in H2. I wonder if you can comment on whether you see similar trends, kind of a bit more Q4-biased? And then secondly, on the Analog and MEMS growth that you've seen – or if you'd just comment. You made a few comments on what have been the drivers behind this. But could you help us understand, distribution-wise, has this mostly been recovery in smartphones and the gains at a major Asian smartphone OEM, or is it more diverse and broad-based than that?
Carlo Bozotti - STMicroelectronics NV: Again, we already gave visibility on what we expect in Q3 and we see then Q3 moving into Q4. Now, we said that in Q3, our three groups are fast imaging. (37:06) Now, they are growing more than seasonal and, as we said, our seasonality is 3% to 3.5%. So, this will be higher than that. So there will be step, of course, important step, a strong step in Imaging. And then see, for this line, an acceleration of the revenues in Q4. Now, we cannot comment more than that. If we go to – now to AMG, I think here, we have a important traction in Analog. The traction is certain importance in distribution. And I think it is either – it is both. Our general purpose analog, on one side, but also our more specific industrial and power conversion products, including motion control products. So, this is pretty strong demand through the mass market and the distribution. As far as MEMS is concern, Automotive is growing very rapidly, as we said, 30%, but we are not yet at the level that we would like to be in this domain of the MEMS business. I think it is important opportunity for us in the future to sell more of these products to Automotive and Industrial customers. What we are doing on the other end, on Consumer is, of course, try to diversify our base, clearly in terms of customers with more and more customers, particularly in Asia. But also in terms of product and product categories. So, it's – again, it's pretty broad. I think for us, in Analog, it's important to keep going, because it's a great business, both in general purpose, high-end analog, the industrial and power conversion. Certain products also for computing – for computer peripherals. So, this for us is important, and we have a pretty good visibility here. And at MEMS, as I said, we want to do more in areas where margins are higher, like Industrial and Automotive, and remain well balanced in the smartphone, in terms of customers and products.
David T. Mulholland - UBS Ltd.: That's great. Thanks very much.
Carlo Bozotti - STMicroelectronics NV: Thank you.
Tait Sorensen - STMicroelectronics NV: Thank you, David. Next question, please?
Operator: The next question is from Amit Harchandani from Citigroup. Please go ahead.
Amit B. Harchandani - Citigroup Global Markets Ltd.: Good morning, everyone. Amit Harchandani from Citi and thanks for taking my questions. Two, if I may. My first question is with respect to the demand in the quarter. Could you give us a sense – you've talked about inventories, but could you give us a sense for lead times and how they have shaped up, they're stable, getting stretched, whether you have seen any component shortages, and also potentially comment on the linearity of bookings during the quarter. And then I have a second follow-up. Thank you.
Carlo Bozotti - STMicroelectronics NV: Yeah. But certainly, lead time are stretchening. I mean we have a strong demand. The book-to-bill is very positive. And we have seen an acceleration of the bookings in the month of June, starting from a level that was already pretty high in April and in May. And of course, we also have the first three weeks of July. I can say that the run rate is pretty good also in the first three weeks of July, including last week. So, the book-to-bill is good. Lead time are stretchening. And the inventory (41:14) distribution are low, and the trend of bookings has increased in the month of June and in the month of July compared to the months of April and May.
Amit B. Harchandani - Citigroup Global Markets Ltd.: Thank you. And ,as an unrelated follow-up, could I maybe get some more insight into the design wins you have talked about on the silicon carbide side? You've talked about diodes. You've talked about MOSFETs. We understand there is a strong win with an Automotive customer. Could you give us a sense for what's driving this? Is it customers embracing it? Is it competitive positioning? Any sort of insight you could give with us which would help us better quantify the opportunity would be most welcome.
Carlo Bozotti - STMicroelectronics NV: Yeah. No. I think, frankly, that we are in a good leadership position with our silicon carbide. I think we want to make silicon carbide an important industrial program for this year. And I think in this respect, my opinion, of course, is that we are leading the market. And Industrial is more spread, and we certainly have opportunity in the industrial field, both with diode and with power MOS. But the volumes, and the volume potentials, in the Automotive are significantly higher. So, we have an aggressive plan to start. I think, in Q3, sales contribution is limited. However, we have an aggressive plan and it is a very, very important program for the company to move on from what we have now with 4-inch, (43:14) 6-inch. Yields are improving. We are moving up, and there is a strong determination to make this a successful program during the second half of this year.
Amit B. Harchandani - Citigroup Global Markets Ltd.: Thank you.
Tait Sorensen - STMicroelectronics NV: Thank you, Amit. Next question, please.
Operator: The next question is from Janardan Menon from Liberum. Please go ahead.
Janardan Menon - Liberum Capital Ltd.: Hi. Good morning. Thanks for taking the question. I had a question on gross margin. For a very strong 9% quarter-on-quarter growth and, Carlo Ferro, you had previously indicated that you will get a significant benefit from the second half from the increased capacity of the 300-millimeter fab, where your cost of production goes down. I was just wondering that the 39% seems a little bit on the low side, when you put all that together. Are there any headwinds that you are facing right now on gross margin, and how would you expect the gross margin progression to continue beyond Q3, based on what you know at this point in time? I have a follow-up.
Carlo Ferro - STMicroelectronics NV: Okay. Janardan, thank you for the question, since that help to highlight also two points around our 39% guidance on gross margin midpoint. This point is, again, is if I do not mistake, this is higher than consensus expectation for the second half. And second is the opportunity of progression going forward. At the end, you have mentioned some of the driver we've discussed at Capital Markets Day about our gross margin evolution through the year, the wafer cost, particularly 300-millimeter is important. As fab ramps, there is always a continuing improvement on the learning curve. And I believe the ability of taking a full advantage of the scale of the fab at around the 5,000 wafer per week will be more evident in the production in the course of the third quarter. And as you know, there is about a one quarter lag as operating cost, manufacturing cost translates into margin out to the inventory cycle. So at the end, it's early to anticipate a gross margin for the fourth quarter. There are a number of ingredients and variable, also depending clearly on product mix, et cetera. Overall, the visibilities that after the 39% in Q3, the progression towards Q4 will be on the positive direction.
Janardan Menon - Liberum Capital Ltd.: Understood. And just a brief follow-up on the Time-of-Flight, which is in your other division. After a big jump in the second half of last year, that revenue has sort of flattened out. But you are continuously reporting higher number of models and OEM on that particular product. And now I understand that from the second half, that revenue will increase sharply because of the 3D of the special program. But just on the Time-of-Flight itself, can you give some reason why that revenue is not really rising as a number of model. Is that price pressure coming there? Or what are the dynamics which is happening there?
Jean-Marc Chery - STMicroelectronics NV: Hi. It's Jean-Marc speaking. Thank you for the question. We are simply executing timely and according to plan of record of the program. And our assessment is consistent with that.
Carlo Bozotti - STMicroelectronics NV: I think on the Time-of-Flight, we have enormous number of customers in our end. Of course, we are also working on new technologies for the Time-of-Flight. So, there would be a new wave, but we are pretty happy that the growth is impressive in Imaging and we are investing a lot for the new initiative. This is visible of course in terms of expenses in the P&L, but we have now sort (47:46) the $300 million business of Time-of-Flight that we want to keep going and we have the opportunity. I think it's pretty good and it's a pretty good business. I would say it's very good business, but in parallel, we are investing on new things and this will make – will allow us to make another important step.
Janardan Menon - Liberum Capital Ltd.: Understood. Thank you very much.
Tait Sorensen - STMicroelectronics NV: Thank you, Janardan. Next question, please?
Operator: The next question is from Adithya Metuku from Bank of America. Please go ahead.
Adithya Metuku - Bank of America Merrill Lynch: Yes. Good morning, guys. Thanks for taking my questions. I have a couple of admin questions. Firstly, could you remind us of the proportion of costs in your business that have been hedged over the next four quarters, especially given the recent moves in the euro-dollar rate. And also if you could remind us with the latest impact on your costs from the euro-dollar move given all the restructuring and the changes in the business over the last 12 months or so. And then secondly, just a quick follow-up on the recent convertible bond offering. If you could give us some color on how we should think about the diluted share count and the impact on buybacks going forward. That would be really helpful. Thank you.
Carlo Ferro - STMicroelectronics NV: Okay. So, I guess both questions are for me, Carlo. The one on the hedging has – overall COGS and operating expenses. Euro-denominated at the current stage, are hedged for the third quarter in the range of the 80%. So, on the $1.12 effective rate underlying, our guidance at the end, the margin of volatility is quite limited. That will be not about one figure assuming exchange rates that stays at a decent level of $1.1640. And for the fourth quarter, we have now had over 50% of the overall exposure. And on this basis, based on current exchange rate at $1.164, you may expect for the fourth quarter an effective exchange range of about €1.14 per dollar (sic) [$1.14 per euro] (50:16). The second part of the question is an appreciated question. As clearly, our balance sheet at the end of the months of June still is subject to some evolution. On July 3, we have closed the issuance of the new convertible bond. Then we are in the process of repurchasing 19 million shares, and we are in the process of redeeming the 2019 convertible bond. In respect to this initiative, the current status is clearly the issuance of the convertible bond is complete, and this also give us the opportunity for an additional $1.5 million of financing if we take out the amount we are using to repurchase the underlying shares to convert assuming net share settlement at the end is $1.2 billion net amount that came with a zero cost and with zero dilution certainly strengthening the balance sheet of the company and the overall financial flexibility for the company. Then we have the second ingredient which is the execution of the buyback. On the share buyback execution, we are at about 60% of completion. So, I would expect that when I will talk at the end of Q3 but before in the next month so the program which has been totally completed. And in respect to the redemption of the 2019 bond, the $600 million has been – the full amount has been already noticed for conversion. We are in the so called observation period which is a 20-day period. So by the end of August, the redemption of this $600 million of tax will be reflected. To make sure to the story, you see $2 billion of available liquidity $1.99 billion in the balance sheet at the end of June on a pro forma basis including the new convert, the repurchase of the shares and the redemption of the 2019 bond at this level of liquidity would be about $2.6 billion. And finally I guess, on your question, perhaps there is a question about the underlying shares for the shares count. And given the utilization of treasury shares to redeem the 2019 bond on one side and the buyback on the other side, what you may consider is that, at the end of June, 23.3 million shares were outstanding as treasury shares. At the end of September, after all this process of refinancing being completed, we estimate about $28 million treasury shares so, not bigger changes in the overall effect of treasury shares on the shares count.
Adithya Metuku - Bank of America Merrill Lynch: Okay. Very clear. Thank you.
Carlo Ferro - STMicroelectronics NV: You're welcome.
Tait Sorensen - STMicroelectronics NV: Thank you, Adi. Next question, please?
Operator: The next question is from Jérôme Ramel from Exane BNP. Please go ahead.
Jérôme Ramel - Exane BNP Paribas: Yeah. Good morning. A question on your manufacturing. could you give us what the capacity utilization rate was? Also, what is the current capacity in, call it, 300-millimeter? And have you already completed the program? And the CapEx increase for this year, where is it going exactly? Thank you.
Jean-Marc Chery - STMicroelectronics NV: So, thank you, Jérôme. Jean-Marc speaking. So, to be specific about, call it, 300-millimeter, I have to say that all the equipment (54:46) has been basically installed and consigned now. And the team is running full speed to reach a capacity, about 2,000 to 5,000 wafer per week in the course of this second half of this year. And overall, okay, the manufacturing machine of (55:10).
Carlo Bozotti - STMicroelectronics NV: And the CapEx, this phase is broad, they increase – the increase that we have given or that it was preannounced, in fact, in the month of May. And today, there is some form of quantification. It is also covering area like our BCD, for instance, the smart power technologies, the silicon carbide, typically proprietary technologies, because we see important opportunities for the future, of course. We also said however, that this extra CapEx in terms of cash flow, we would – it would be fully compensated by increased EBITDA. So, the cash flow, let's say, anticipation that we had given would not change, no? We would certainly cover the distribution of dividends, despite the increase in CapEx.
Jérôme Ramel - Exane BNP Paribas: Okay. Thank you. And maybe another follow-up, if you are fully loaded today and we should still see revenue growth in Q4. And maybe, let's say, you have some growth next year, how are you going to deal with that? Do you have extra capacity coming in? Or are you stretched from a capacity standpoint?
Carlo Bozotti - STMicroelectronics NV: Well first of all, we have some ambition for Q4 and we are starting to describe the ambition, but certainly with what we have in our end, in terms of capacity and in terms of the backlog, customer programs, we have moved quickly from a $7 billion company to a $9 billion company. This is happening. This is happening for real. And of course, we have opportunity inside ST to grow, but we also have opportunity with our, let's say, silicon foundry partners. We are working internally as we described today, but we are also working externally with a number of technologies. Traditionally, this was on logic, the FD-SOI, as you know, embedded flash is also from outside. And more recently, the perimeter has become wider. We have the BCD also now. So, you see the contribution of important programs with our silicon foundry partners and this increase of capacity internally and our really priorities to make sure that we can make another important step next year in terms of revenues.
Jérôme Ramel - Exane BNP Paribas: Okay. Thank you. Just to make clear, Carlo, with this current capacity you have and your partner fleet with your foundry, do you think you can deal with potentially a $9 billion revenue, is that what you said?
Carlo Bozotti - STMicroelectronics NV: I didn't say exactly that. I said that with the silicon foundry partners, we can certainly exceed the $9 billion.
Jérôme Ramel - Exane BNP Paribas: Okay. Thank you.
Carlo Ferro - STMicroelectronics NV: If I can, Jérôme, on a more, I would say, technical standpoint help on the subject, I believe that we are not referring to any target of guidance for next year...
Carlo Bozotti - STMicroelectronics NV: Sure.
Carlo Ferro - STMicroelectronics NV: ...which is, clearly, too early. However, certainly, the initial question about the limitation of our revenues growth in respect to the current utilization of capacity, we tried to put in the right context because there are a number of ingredients that will support and could support together with the demand, expanding revenues, as Carlo said, the sourcing of silicon from a foundry. The fact that full use of capacity in full steam it moves (59:53) then takes one quarter to translate into wafers out in our cycle. The fact that we are accelerating capital expenditure. When you compare the $1.25 billion, $1.3 billion guidance for the year to the about $550 million spent in the first half, you'll see that there is a lot that we are receiving in these days which, clearly, will increase capacity and then, obviously, there is also on the inventory cycle. So, it's not so mathematical. It certainly is not flex (1:00:25).
Jérôme Ramel - Exane BNP Paribas: Thank you very much.
Tait Sorensen - STMicroelectronics NV: Thank you, Jérôme. Next question?
Operator: The next question is from Francois Meunier from Morgan Stanley. Please go ahead.
Francois A. Meunier - Morgan Stanley & Co. International Plc: Thanks for taking my questions. Yes, just a bit more precisions around the silicon carbide MOSFETs socket wins. In which region was that? Was that in Germany? And are you seeing the more traditional competitor there trying to come back on the silicon carbide? That's the first question. Second question on the gross margin. Actually, you know like that was a question you had earlier. I think the guidance for Q3 is pretty good. It looks like it's a 56% drop through on incremental revenues compared to 50% in Q2. So, that's pretty good. So, I think Carlo you say that Q4 would potentially be even better. So, is that basically because you expect the drop through to increase to 60% or above in Q4? And just two other questions, if I may? Any intent to use the $1.5 billion convert you've raised at a very, very good price to increase you capabilities in VCSEL. And also – and I'm sorry, that's the fourth question, I'm really sorry. Have you heard of any double ordering taking place at the moment, end of Q2, beginning of Q3 at any of your distributors or OEMs? Thank you.
Carlo Bozotti - STMicroelectronics NV: Okay. So, there are many question. Maybe, Carlo, you'll start.
Carlo Ferro - STMicroelectronics NV: Yeah.
Carlo Bozotti - STMicroelectronics NV: On the gross margin.
Carlo Ferro - STMicroelectronics NV: So, I think the one on the gross margin, unfortunately, Francois, with little ability of adding in respect to what we have already anticipated and saw the opportunity of a further progression in the fourth (1:02:28) quarter than to quantify it at this stage is a bit premature as you could expect it. Then the other of your questions was on utilization on the proceeds from the convertible bond. For what was the question is?
Francois A. Meunier - Morgan Stanley & Co. International Plc: If you were willing to buy into VCSEL capabilities for your 3D sensors?
Jean-Marc Chery - STMicroelectronics NV: No. No. No. No. No. We have always positioned ourselves very clear about VCSEL. You have many, many VCSEL type, okay? Big one, big (1:03:12). So, it's (1:03:16) like a strategic agreement with supplier. And this is basically, what we are doing and we have done to support our Imaging growth.
Carlo Ferro - STMicroelectronics NV: In general, as you said, Francois, thank you for saying that at the end, we have raised money at very effective terms. And this grant is the reason why we tapped the market and the philosophy that it's better to go to take money from the market when it's easily and the cheap, as opposed of when you actually need. So, I would encourage not at all reading across the convert in to read the strategic or investment move in for the company. Really, it's been more opportunistic than strategically needed. And of course, financial flexibility in semiconductor is always a great asset to support the growth.
Carlo Bozotti - STMicroelectronics NV: And then I think the last part is on SiC, right?
Francois A. Meunier - Morgan Stanley & Co. International Plc: Yes. From which region, and if you saw your more traditional competitor on power semis for autos reacting to your progress in silicon carbide?
Carlo Bozotti - STMicroelectronics NV: Of course, I believe that we will see, we'll see, we will (1:04:42). It's no doubt. I think this is a great opportunity for ST. But it is a great opportunity for some of our competitors, and we need to keep that going with innovation, the industrialization, et cetera. So, I expect that there will be a strong effort from our competitors to be successful in this very, very important business. Frankly, we are working on the three regions. I think it's something that I can mention, because it is publicly known and is about China. In China, we have signed an agreement to contribute. This is with a consortium. And they are carmakers, battery maker, also research centers, research institution in China. This is for the management of the battery for electric vehicles. I believe this is something that I can mention, because it is publicly known. I think it's a good opportunity, of course, with our BCD technology, but also for our silicon carbide. But we are working in Asia. We are working in Europe. Of course we are working in Germany, and we are working also in United States.
Francois A. Meunier - Morgan Stanley & Co. International Plc: Okay. Thank you. And any sign of hearing on any double ordering in microcontrollers or any standard parts?
Carlo Bozotti - STMicroelectronics NV: Well, I think there is more than double ordering. I think what we see is anticipation of orders, particularly on microcontrollers, to make sure that the backlog is well-covered. Also, for instance, for the fourth quarter of this year and the first quarter of next year. We know, of course, very well that, on certain family, the book-to-bill ratio that we are experiencing is not sustainable. But, I think what we see is an effort to make sure that there is a good coverage in the backlog of our customers, not just for Q3 or as part of Q4, but on a longer frame of time.
Francois A. Meunier - Morgan Stanley & Co. International Plc: Okay. Thank you.
Carlo Bozotti - STMicroelectronics NV: Thank you.
Tait Sorensen - STMicroelectronics NV: Thank you, Francois. Next question, please?
Operator: The next question is from Andrew Gardiner from Barclays. Please go ahead.
Andrew M. Gardiner - Barclays Capital Securities Ltd.: Hi. Good morning, gentlemen. Thank you for taking the question. I had another one on the CapEx side of things. Yeah, I take your point that demand is strong and so it is – the rise in CapEx is covered by sort of broad-based demand. But if I go back to some of the comments you made earlier this year, so when we first saw the initial increase in CapEx, there were portions of the 2017 budgets that were quite clearly allocated to a specific project. I'm just wondering whether now that we're in the middle part of the year, we're going to see some of these ramp in the back half. How is your visibility into 2018 improving for these particular areas? And I go back to some of the points you made, Carlo Ferro, about sort of ensuring that you are going to get sort of multi-year returns on the investment being made. Just sort of further visibility into 2018 would be helpful. And I've just got a quick modeling follow-up.
Carlo Bozotti - STMicroelectronics NV: Absolutely.
Carlo Ferro - STMicroelectronics NV: Yeah. Andrew, at the end, the CapEx level in 2017 is clearly higher than what we have expected entering the year, but also the revenues for the year are well higher than what we were expecting. And we are really in a process of realigning capacity to demand, and increasing sourcing from silicon foundry in parallel, in order, on one side, to meet demand and on the other side, to maintain or to increase flexibility for our manufacturing machine, recognizing that clearly, the semiconductor industry remains overall exposed to some level of silica. (1:09:21) So, this is, I would say, quite wise and well-balanced move. Then, as this evolution continues so far to be positive, based on current visibility, 2018 could be another year important in term of overall capital expenditure, however, frankly, it's very, very early at this stage to anticipate. The way that capital sourcing is execute in this industry is always at the appropriate level of modularity in order, to adjust up or down depending on the evolution of the demand, depending on the design win. Clearly, today, also in Carlo's introduction, you had a good picture of not only strong demand, but the flow of design wins, which is important in all, and across the various technologies, including in the area of analog and power technology. And this is the reason for accelerating capital expenditure.
Andrew M. Gardiner - Barclays Capital Securities Ltd.: Okay. Thank you. And gentlemen, just a quick follow-up. In terms of OpEx modeling, previously you'd guided to the $550 million per quarter on average through the year. Can we assume that was the normal seasonality in OpEx, sort of lower in 3Q and then higher in 4Q? But does that average still hold for the year, or is it moving a bit higher, given the revenue growth?
Carlo Ferro - STMicroelectronics NV: For the current quarter, I'll say, no major surprise in respect to the gross operating expenses, in SG&A and in R&D. Clearly, there is more activity. The exchange rate is not, as you noted, in favor, the seasonality plays in favor. Overall, what you may expect is that this quarter is a level of operating income lower than what is the normal $15 million to $18 million we report each quarter.
Carlo Bozotti - STMicroelectronics NV: Not operating income.
Carlo Ferro - STMicroelectronics NV: No, other income, sorry, of other income and expenses, sorry. Thank you, Carlo. Of other income and expenses, here on other income and expenses at the end, you may expect a few million dollar of contribution. So overall, at the end, the net operating expenses for Q3 would be slightly north of the $550 million of our target range. Then, moving forward in Q4, you may expect some increase due to seasonality and exchange rate on the gross expenses. The other income and expenses to go back to the usual $15 million to $18 million. And as a result of that, we may be a few tenths of million dollar maximum above the $550 million reference.
Andrew M. Gardiner - Barclays Capital Securities Ltd.: That's very clear. Thank you, Carlo.
Tait Sorensen - STMicroelectronics NV: Next question, please?
Operator: The next question is from Robert Sanders from Deutsche Bank. Please go ahead.
Robert Sanders - Deutsche Bank AG: Yeah, hi. Good afternoon. Thanks for taking my question. I just wanted to come back to a previous question about capacity. So, if you were given a new order for a special program for second half 2018, let's say at the end of this year. How would you serve that if it was, let's say, an FD-SOI ramp? Are you saying that you would serve that via foundries, or are you saying that you would migrate embedded flash out of Crolles and into foundries to clear the decks for that? And I guess I have the same question for silicon carbide, in the sense that that's currently on a 6-inch line at Catania. Is there clean room space to ramp that up, or would you need to do something with the 8-inch capacity that's there as well? Thank you.
Carlo Bozotti - STMicroelectronics NV: Well, let's start from the silicon carbide. No, the silicon carbide will stay inside. Okay. We do not have any plan to outsource the silicon carbide at all. So, as you know, at the end of last year, we moved from 4 to 6 inches, and we run this in our 6-inch module in Catania. And we intend to continue the growth of this line in Catania. On the other hand, on the 6-inch in Catania, the intention is to move more and more production, as we already described, to Asia, to Singapore for us. On the first part of the question, while it's a combination of the two, of course, we are building up flexibility. Let's put in this way. I mean, you mentioned two important areas of flexibility. On flexibility, you mentioned flexibility on embedded flash and you mentioned flexibility on FD-SOI. And, of course, this is part of the whole manufacturing strategy. We must work from this, and we must increase this level of flexibility. And it is exactly the same for BCD. We want to have more flexibility also on the BCD. So, as we said before it would be a combination of internal investment, but also a more extensive use of outsource, okay? So flexibility in FD-SOI, flexibility in embedded flash, on a number of generational technologies, flexibility on BCD. But certainly, let's say, on a technology pack, FD-SOI, particularly in this space, everything is and will remain inside. But flexibility to reduce the 6-inch in Catania, moving the traditional production to Singapore and making more space for the FD-SOI in case it's needed.
Robert Sanders - Deutsche Bank AG: Got it. And just following up on that. So, then no plans for a new clean room anytime soon, in order to expand your capacity internally?
Carlo Bozotti - STMicroelectronics NV: Not for new buildings. We have always opportunity to use our infrastructure better. And our, let's say, ambition is, of course, to build up more when we need in terms of capacity, using what we have, that is, I believe, possible. And of course, to continue to drive down the wafer cost.
Robert Sanders - Deutsche Bank AG: Thanks a lot.
Tait Sorensen - STMicroelectronics NV: Thanks, Rob. Next question, please?
Operator: The next question is from Mr. Veysel Taze from ODDO. Please go ahead.
Veysel Taze - ODDO SEYDLER BANK AG: Yeah. Hi. Good morning. Veysel Taze from ODDO. Most of the questions have been addressed. Maybe one question regarding your Auto business and the seasonality in the second half of the year. I mean, your silicon carbide design win is ramping up in Q3. So, do you expect in Q4 further seasonality growth in your Auto business? And then on your silicon carbide business, can you share with us your design win potential of what you have right now similar to the auto microcontroller and how that has changed throughout the first half of the year?
Carlo Bozotti - STMicroelectronics NV: So, again, on the silicon carbide, the ramp is now. The contribution to revenues in Q3 is limited. We expect to have an important step in Q4 of this year. And importantly, we see, let's say, significant opportunities to grow next year. I think more in general in the Automotive, as I was mentioning before, we see also a good drive in the following areas. Number one, on this smart power technologies, okay? Number two, our microcontrollers dedicated to Automotive. I'm talking about the microcontrollers that we have in ADG. And number three, the complex digital ASICs that we now sell particularly for advanced safety applications. So, we see a good momentum on this three technology clients for Automotive. So, we expect an acceleration of the performance of our specific Automotive Group that is part of ADG – of course, it's APG, the Automotive Product Group, now part of ADG. We see an acceleration of the growth in the second part of this year, but across the board, in terms of technology coverage. This – I think, it was probably is responding to all your questions.
Veysel Taze - ODDO SEYDLER BANK AG: Yeah. The thing is also – I guess in Q4, there will be another sequential growth versus Q3. Then on the silicon carbide, really like in your auto microcontroller you have this $4 billion design win potential you mentioned. But – and just to get a color on the silicon carbide as there's a lot of moving parts there. What would you see your current design win there, just to quantify that if it's possible for you?
Carlo Bozotti - STMicroelectronics NV: But it's not possible for me. I mean, I made the project. And example, from China because I can mention, there was a press release. I can – unfortunately, we are working in the three regions. So, we are working in Asia, we are working in Europe, of course we are working in Europe, and we are working in United States. But I cannot give more color. I mean, I tried before to give more color to this initiative in China that is important initiatives. There are six or seven (1:20:08) that are pooling on the electric cars initiative and really we have won them the battery management system and I believe we can contribute with our technologies including silicon carbide, but I cannot say more on other customers because, of course, it's confidential.
Veysel Taze - ODDO SEYDLER BANK AG: Okay. And then just a quick follow-up on your distribution business. I think in H1, it was 34% of revenues. What is your growth expectations for the entire year in your distribution business?
Carlo Bozotti - STMicroelectronics NV: Well, in Q1, it was 33.8%. In Q2, it's 34.4%. So, we said these two times, 34% but in Q2 it was 34.4%, our distribution point POP, the billing and our billing to distribution customers. But more importantly, of course, is the evolution of point-of-sales. The point-of-sale is sequentially moving from Q1 to Q2, improved by 7 percentage point. And if I look year-over-year, Q2 over Q2, the point-of-sales increased 13%. Well, we want to keep going. The inventory are low, even too low. So, we want to keep going with the point-of-sales. I think we have two priorities in distribution. One priority is to make sure that the STM32 is more and more sticky and we have more and more products around the STM32. And of course, this is demand creation and cooperating with our distributors on the demand creation. And the second priority is the expansion of the customer base to have more and more customers. And of course, we are consistent. I believe, we have a strategy in distribution that is very consistent and we want to keep going with this level of performance in the POS. And hopefully, contributing a little bit more to the replenishment of the inventory with our distributors that are too low.
Veysel Taze - ODDO SEYDLER BANK AG: So, to come back on that one. What is in your 15% growth year-over-year revenue in the distribution part? What is your year-over-year growth, would you assume, here in your distribution business?
Carlo Bozotti - STMicroelectronics NV: We prefer...
Veysel Taze - ODDO SEYDLER BANK AG: I think you mentioned the 13% on first half, but what would be for the entire year?
Carlo Bozotti - STMicroelectronics NV: Well, I think this is an area where, of course, we need to be careful to provide information because this is not only us, but it is also the sales of our distribution. Our ambition is to keep growing with this level of growth across the board. So, that's one (1:23:15) what will be the growth at the year end. Last year was pretty positive. It was certainly very solid double-digits in 2016, and we want to repeat the performance this year. I think we do not have any sign of change, and we want to keep going. But I think it is – it will be not appropriate for us to give a POS forecast now, a point-of-sales forecast for our distributors.
Veysel Taze - ODDO SEYDLER BANK AG: Okay. Thank you. Thanks a lot, gentlemen.
Tait Sorensen - STMicroelectronics NV: Okay. Based on time, we'll take one more question, please.
Operator: The last question is from Lee Simpson from Stifel. Please go ahead.
Lee Simpson - Stifel Nicolaus Europe Ltd.: Great. Good morning, everyone, and thanks for squeezing me in. Most of my questions have been asked, but maybe if I could ask a couple of future questions just as it relates to the investments for the technology cycle. So, okay, question one. Really around that wide bandgap semi space obviously coming into power quite notably via silicon carbide including opportunities with China. But it looks to us that the sweet spot is emerging right across the voltage range for the need for higher efficiency transistors even in appliance charging. So, I'm just trying to understand how far do your ambitions go maybe in the next three to five years with wide bandgap semis would gallium nitride feature at some point? And what sort of IP datasets would you be looking for? Second question – sorry, quick one just on digital optics for the datacenters. You mentioned some uptick there, I think, in design wins. Could you maybe just elaborate on that? Are we talking about new transceiver products for 10G-PON, that sort of thing, or are we talking about perhaps pivoting to new materials like indium phosphide? Thanks.
Carlo Bozotti - STMicroelectronics NV: Yeah. Well, for the first one, yes. I think we have important ambition. We are also working on gallium nitride. We are not at the level in gallium nitride as we are in the silicon carbide, but it is an important program in R&D. You are perfectly right. We talk a lot about Automotive, but this is broad. I think we see, particularly with, in the area of home appliances, air conditioning systems a lot of opportunities for this kind of technology. So, really. a lot of opportunities. And we see opportunities, of course, also in the Industry 4.0, the Industrial Internet. So, I think, it is an important pillar of our strategy, and we want to do much more there. And, for us, where our IGBT presence is more limited. I think the silicon carbide and the innovation in the silicon carbide; it is a great opportunity to make a step forward in this area. To respond to the second part of the question, no. I think the bulk of this design win, it is more on very advanced BiCMOS technologies, that are used by our customers, as we mentioned, I think in my address before. To build up sub-systems, including optical sub-systems, to be used, for instance, in datacenters. But it is very advanced BiCMOS technologies and with this kind of technologies, we can certainly contribute and this is mostly ASICs. We can certainly contribute in the optical application, as we said, or let's say datacenters, for instance. But also in the new areas like the 5G. We have a wave of ASIC products, again, on BiCMOS technologies, pretty advanced BiCMOS technologies for 5G applications. So, just to respond to your question.
Lee Simpson - Stifel Nicolaus Europe Ltd.: Great. Thanks. That's a very frank answer. Thank you.
Carlo Bozotti - STMicroelectronics NV: Thank you.
Tait Sorensen - STMicroelectronics NV: Thank you, Lee. At this point, we'd like to conclude our Q2 call. Thank you very much.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call and thank you for participating in the conference. You may now disconnect your lines. Goodbye.